Operator: Hello everybody and welcome to the O-I Glass First Quarter 2025 Earnings Conference Call. My name is Elliot and I'll be your coordinator today. [Operator Instructions] I'd like to hand over to Chris Manuel, Vice President of Investor Relations. Please go ahead.
Chris Manuel : Thank you, Elliot, and welcome everyone to the O-I Glass first quarter 2025 earnings conference call. Our discussion today will be led by Gordon Hardie, our CEO, and John Haudrich, our CFO. Following prepared remarks we will host a Q&A session. Presentation materials for today's call are available on the company's website. Please review the safe harbor comments and disclosure of our use of non-GAAP financial measures included in those materials. Now I'd like to turn the caller over to Gordon who will start on slide 3.
Gordon Hardie: Good morning, everyone, and thank you for your interest in O-I Glass. Today, we will walk you through our first quarter of 2025 performance, key market trends and outlook for the rest of the year. First, I would like to take this opportunity to thank all my colleagues at O-I across the world for their efforts in this first quarter and for their agility and focus on driving the changes needed to turn O-I around. Last night we reported first quarter adjusted earnings of $0.40 per share, while down from last year results significantly exceeded our plan due to stronger than anticipated sale volume and fit to win benefits. Market conditions have continued to gradually recover and our shipments increased by more than 4% compared to last year. Additionally our Fit to Win program generated savings of $61 million, which was a significant contributor to our better than expected results. Strong demand and initiative benefits helped offset expected headwinds, including lower net price and scheduled temporary production curtailments. Looking at our business units segment operating profit improved significantly in the Americas reflecting healthier fundamentals and benefit from strategic initiatives. In Europe, results trended down giving lower net price and temporary production downtime which was partially mitigated by solid Fit to Win benefits. Overall, we are off to a strong start this year and are successfully managing the elements within our control. As such we are reaffirming our full year 2025 guidance and expect adjusted earnings to improve between 50% and 85% from 2024. John will discuss our outlook further including an initial view on how changing global trade policies could affect the business. In summary then we are pleased with our year-to-date performance trend despite some anticipated lag in Europe and we aim to deliver robust financial performance throughout the year. Let's now turn to page four to discuss current market trends. Overall, conditions continued to gradually improve and our shipments were up 4.4% in the first quarter. Solid growth reflected some rebuilding of packaging inventories across the value chain, benefits from recent contract negotiations supported by multi-year cost improvement plans and likely some advanced purchases ahead of new tariff policies. Shipments were up more than 4% across the Americas. Here we see inventory normalization overall as well as more structural demand improvements in Latin America together with the positive impact of some expanded contracts in North America. Volumes increase in nearly all markets driven by a strong rebound in beer and spirits with solid growth in food. Volumes grew nearly 4% in Europe driven by customer inventory rebuilding and some buying ahead of tariffs for export customers. As with the Americas shipments increased in nearly all markets and categories with most growth coming from beer wine as well as food. Currently, we are addressing excess capacity in Europe through temporary curtailments and we are in consultation with the European and local works councils, regarding long term restructuring actions. These efforts should improve our competitive position and support profitable growth. Shipment activity has been encouraging and our volumes are up about 3% year-to-date through April. Recently, we've seen some softer demand amid elevated uncertainty of new tariff policies, which may continue to impact near term shipments. As such, we are maintaining a cautious commercial outlook as well as our original sales volume guidance. We will reassess our 2025 sales volume out of mid-year as trends evolve. Let's now turn to Page 5 and discuss progress on our Fit to Win program, which aims to radically reduce total enterprise cost as well as optimize our entire network and value chain to support future profitable growth. We generated $61 million in savings during the first quarter alone, which exceeded our initial plan. Momentum is building and we are confident that we will achieve our targets of $250 million in 2025 and $650 million cumulatively by 2027. Phase A of our Fit to Win program is focused on reshaping our SG&A structure and initial network realignment to meet current market needs. Phase B, seeks to fundamentally transform costs across the value chain including the implementation of our total organization effectiveness program, to optimize capacity within the system. Regarding Phase A, we have now completed all actions required to secure a 100 million SG&A savings target in 2025. Initial network optimization actions are well underway and we are confident that we will achieve our 2025 goal. Likewise additional efforts are in progress to achieve our 2027 targets. We've also kicked off our Phase B initiatives. As we look to transform our cost base, the team has already made initial progress across several procurement programs, as well as efforts to improve efficiency and reduce energy utilization. Finally, our Total Organization Effectiveness program is ramping up nicely. We successfully completed the pilot implementation at our Tijuana, Virginia plant, where we see significant performance improvements and lower inventory levels. Based on those results, we will begin the broader roll out starting in May 2025, which should be completed by the end of 2026. Importantly, many plants have initiated savings programs based on the TOE principles ahead of the formal rollout generating early savings. In summary, our Fit to Win program is delivering strong benefits and we are making solid progress towards our savings target. We are confident in our ability to achieve our goals, enhance operational performance and are well positioned for continued success throughout the year. I will now turn it over to John, who will review our first quarter performance and our 2025 outlook in more detail starting on Page 6.
John Haudrich: Thanks, Gordon and good morning, everyone. O-I reported first quarter adjusted earnings of $0.40 per share while down from last year. Results surpassed management's expectations due to stronger than anticipated sales volume growth and higher Fit to Win benefits. As you can see on the left, adjusted earnings was down modestly from the prior year. Single digit sales volume growth and significant Fit to Win benefits mostly offset anticipated headwinds including lower net price and ongoing temporary production curtailments to reduce inventory. Looking to the right segment operating profit was up in the Americas, but down in Europe. Results improved significantly, Americas reflecting strong demand, stable net price amid tight capacity, and around $27 million of fit to win benefits. Consistent with our expectations, earnings were down in Europe, while sales buying was up nearly 4%, net price was ahead, reflecting competitive pressures and excess capacity. We did incur about $58 million of unabsorbed fixed costs as we curtailed significant capacity to draw down inventories, which was partially offset by $20 million of fit to win benefits as well as other savings. Importantly, results should improve in the second half of the year as inventory reduction activities moderate and we generate greater initiative benefits following current restructuring actions. As we focus on economic profit, we have made very good progress on reducing inventory across the enterprise, which is down around $225 million from the same time last year. Furthermore, we are on track to meet or be below our year in 2025 target of less than 50 days IDS. In summary, we're off to a strong start this year. Despite some headwinds, results exceeded our expectations heading in the quarter and we are well-positioned for continued success throughout the year. Let's turn to Page 7 and discuss our business outlook. We are reaffirming our full year 2025 guidance. Adjusted earnings should range between $1.20 and $1.50 per share, which represents a 50 to 85% improvement from fiscal year 2024. Significantly higher adjusted earnings should reflect ongoing efforts to enhance our operational performance, reduce costs, and capture market opportunities. Likewise, we expect a significant rebound in free cash flow, boosted by strong operating performance improvement and lower CapEx investment requirements. We have also provided a directional sense of how our annual earnings will unfold by quarter. Based on a strong start to the year, our full year performance is currently tracking towards the high end of our earnings guidance range. However, we are maintaining our original business outlook given the uncertainty related to new tariff policies which we will discuss further as we turn to Page 8. Changes in global trade policies will likely be disruptive in the short-term and may create both new challenges and opportunities, which cannot be fully determined at this stage. As illustrated in the chart, about 14% of our global sales volume crosses the border between the U.S. and other nations. This includes both empty and filled bottles. We estimate that only 4.5% is currently exposed to new tariffs. This primarily relates to imports of filled containers from Europe while most cross-border sales between the U.S., Mexico, and Canada are exempt under the USMCA treaty. As such we face a limited direct tariff exposure so far. The bigger unknown is how elevated market uncertainty may impact the consumer and demand elasticity. While we face a few challenges there are potential opportunities. Glass is a local business and around 85% of the value chain is within 300 miles of the plant. So, we do not rely on a global supply chain which is more exposed to tariffs. Favorable substrate dynamics may emerge as there are currently sector-specific tariffs on aluminum. Likewise domestic glass production is now significantly more competitive compared to imports from China given new tariffs. Next, OI has the largest glass network in the U.S., so we are well-positioned to take advantage of opportunities that emerge, especially if consumption shifts to more domestic products over time. Finally, policy changes have already led to sizable shifts in currency exchange rates that are helping improve earnings translation. Naturally, we are working with our partners in the value chain to mitigate risk and capture opportunities. Overall, we continue to believe our best long-term strategy is to improve the competitive position of the company through Fit to Win. Now I'll turn it back to Gordon, who will conclude our discussion on Page 9.
Gordon Hardie: Thanks, John. In conclusion, O-I is well positioned for a strong year ahead. We are off to a fast start. We expect our performance and earnings in 2025 will rebound from prior year levels as we implement our Fit to Win initiatives. While changes in the global trade policies create uncertainties, we are executing our long-term value creation road map as illustrated on the right and discussed at length during last month's Investor Day. Importantly, these actions are largely within our control. We are confident in our ability to achieve our goals, deliver strong future financial performance and create shareholder value. Thank you for your attention, and we look forward to taking your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from George Staphos with Bank of America. Your line is open. Please go ahead.
George Staphos: Thanks very much. Hi, well, good morning. Thank you for the detail.
Gordon Hardie: Good morning.
George Staphos: Good morning. I guess the question that I have to start is, can you talk a bit about any prebuy effects you've sort of touched on within Europe, what kind of volume effect might that be that has to reverse itself in the back half of the year or whenever? And then overall, can you talk a little bit about some of the work you're doing on TOE in Toronto and elsewhere and why that supports your overall Fit-to-Win goals? So prebuy and then TOE and what you're seeing in Toronto? Thank you.
John Haudrich: Yeah, George, thanks for the question. I'll kick things off. This is John. On the prebuy point, as included in our comments, sales volume was up 4.4% in the first quarter. We actually saw probably a fairly limited amount of that. It was not the driver of the stronger volume in the quarter. And in fact, what we had seen is that our sales volumes were actually stronger in January and February, but they were still up in March. So we believe that maybe some of the strength in March was there. So in other words, if volume was a $0.06 or so benefit in the quarter, maybe there was a $0.01 or $0.02 in there associated with prebuying, but it was not the driver of the stronger volume in the quarter.
George Staphos: Okay. And John, just kind of, -- hi, Gordon, just quickly, April, you said softened. So are we looking at negative volumes to get to a year-to-date growth rate of 3% from up 4%? Or just maybe another kind of detail there.
Gordon Hardie: What I would say is while that's not our base case view, we are remaining cautious in the commercial outlook. So we are maintaining our full year view of stable volume over for the year on a year-over-year basis so kind of flattish overall for the year. But again, that's out of an abundance of caution on just the uncertainty on tariffs. It's certainly not the direction we hope things go. And in April, just to give you a little bit of color, adjusted for Easter, volumes were down about 1% or 2%. It wasn't a significant decline. Volumes were up in the Americas, low single digit. Again, that remains healthy. And our business really isn't exposed to tariffs there, but we did see a little bit of decline in Europe, and it was primarily in use categories and markets that we know are exposed to exports, considering that about 40% of what we make in Europe ultimately gets exported. It was kind of the wines and the spirits categories that we saw a little bit of softness in April.
Gordon Hardie: Yeah, George, we'll update the as we get more visibility in this quarter and we'll update and in at the half year. With regard to the second part of your question, TE and Toano, as we outlined, I think, in July and October, there is there's a process that we put each of the plants through in that, there are performance opportunities identified and then we go and execute against those opportunities. In Toano, we have a very clear line of sight to 100% of the opportunities we identified and we've established the metrics, the operating system validated some of our hypothesis, which have promoted strongly. And now, we will begin the rollout across the whole fleet in waves. And that's a very structured kind of disciplined approach over the next 15 to 18 months. So we're very happy with the outcome of Toano and we expect similar results as we roll out the program across the whole fleet.
George Staphos: Thank you, Gordon. just mentioned Toano is one of your better plans over the years. But I'll turnover it over. Thanks very much.
Gordon Hardie: Thank you.
Operator: We now turn to Michael Roxland with Truist Securities. Please go ahead.
Michael Roxland: Thank you, Gordon, John and Chris for taking my question. And congrats on all the progress and nice quarter.
Gordon Hardie: Thanks, Michael.
Michael Roxland: My first question is just on a follow-up to what George was asking about stricter volumes. Can you give us a sense just in terms of the volume progress that you're seeing by end market, whether it be line spirits, beer, NAB. I just want to get a sense of the growth or the headwinds that you may be encountering in some of those end markets. And where do order books stand currently? So any outlook you can share with respect to how early read on May for instance?
Gordon Hardie: Sure, Michael. I'll take that question. So in both the Americas and Europe, we saw strong volumes in the first quarter. And literally, it was across most categories in each of the regions. So we -- in the Americas, for example, we are up close to 4%. Food performing strongly, high single digits. Spirits in the Americas actually had a very strong quarter up double digits for us as had RTDs. So overall, strong volume growth in the Americas, strong demand, tight capacity in Europe. Beer performed very strongly in the quarter. Nonalcoholic beverages also performed strongly, up high single digits for us. Food up mid-single digits. One, a bit of a comeback in low single digits in Europe. Spirits were off in Europe of mid-single digits and RTDs, which is a much smaller category in Europe was also slightly off. So all in all, there's -- we see kind of green shoots in a lot of the categories in a lot of the geographies coming back. So order books at this stage are good. There's certainly uncertainty out there regarding where all these tariff discussions are going to play out and that is causing consumer uncertainty as well. So I think this quarter will be telling to see where everything lands and yeah that's our view at the moment. As I said, as we look to the end of the year, we're sticking with our initial thinking at the start that it would be stable over the year. There may be a few bumps here and there, but overall off to a strong start.
Michael Roxland: That's great Gordon. Thank you for all the color. And just one quick follow up, you're looking to streamline your French operations given the slowdown in wine. Now, is that a structural issue just related to French wines? Is that a structural issue for all wines? Does it relate to more mainstream wine brands versus let's say premium products in terms of I think premiums being like top regions top brands. So I get a sense of what you're trying to do with your French operations and really what the driver is there in terms of the realignment.
Gordon Hardie: Yeah look, overall, it's fitting assets to market opportunities. As I said, we're looking now at the portfolio and In terms of two streams mainstream and premium. We see tremendous opportunities in premium across wine, across spirits in France and so some of this is the realignment of the footprint to get ourselves ready to expand into premium as we go forward. And of course, we'll continue to invest strongly in France. We have a big investment in Agencour which has gone live and is delivering to expectations. We're very happy with it and we will continue to invest in France which is a key market for wines and spirits, particularly wines and spirits. Longer term, wine particularly, economy wines have suffered some impact across the whole market, but I think if you look through the cycle over the long term, premium and super premium wine, premium spirits, super premium spirits will continue to perform to perform strongly. And that really is looking at the footprint and making sure we're set up properly for that, as we execute on what we laid out in our best of both strategy being the lowest cost producer in mainstream and best cost producer in premium. So that really is the context for the operations review across Europe.
Operator: Our net question comes from Joshua Spector with UBS. Your line is open. Please go ahead.
Anojja Shah: Hi this morning, good morning. It's Anojja Shah sitting in for Josh. On Friday, you mentioned tariffs on aluminum as an opportunity, one of the opportunities of tariffs. Have you seen signs of this yet with customers where this could potentially be a benefit like maybe you're having introductory conversations about substrates or just any color on what you're seeing there and how you think it might benefit you.
John Haudrich: Yeah, just for some clarity there, if you go back to our investor day, we did profile that overall glass containers in North America are at a higher cost than aluminum that's 25% to 30% kind of differential and we believe. If that goes to 15% or lower historically, we've seen shifts over to glass and we believe that the difference on the aluminum tariff side could impact that call it 5%, 10% points against that 25% to 30% premium. So it could help. I think it's a little early; some of the things are supply chain related. They're filling related. They are contractually related. So I would say just as we look at the back to the prepared comments, the challenges we'll probably see some of the broader market related areas probably over the shorter to medium-term and the opportunities section that we show on page 8 is probably something that unfolds a little bit more over time than what we're seeing anyway.
Gordon Hardie: Yeah. Just add to that you. Obviously, if there's increases in price in aluminum that helps close the GAAP a bit, but that's not a controllable for us. And so what we're focused on is getting our cost base into a position that we close the GAAP very significantly to cans and become more competitive to cans particularly in North America. Driving those elements that are within our control and that really is our primary focus. Tariffs for us isn't uncontrollable and while it may help us over a short, medium-term period, it's not something we wish to rely on as we as we get fit.
Anojja Shah: Great. Thank you. That's very helpful. I'll turn it over.
Operator: We’ll now turn to Anthony Pettinari with Citi. Your line is open. Please go ahead.
Anthony Pettinari: Good morning. In Europe you have year-on-year headwinds for net price, and then operating costs with the curtailments in one queue. As you envision the year can you talk about maybe the cadence of how you'd expect those headwinds to trend and ultimately inflect over the four quarters of the year?
John Haudrich: Yeah. Anthony this is John. I'll take that one. As we take a look at net price for the business, it will be front and loaded this year so you saw the $37 million impact in the quarter. It should be less than that in the second quarter, and then be a relatively minor headwind for the business in the back half of the year. That's primarily because last year we had started to see a little bit of pricing pressure in the marketplace in the back half of last year, so we're going to comp that. So that will show a year over year moderation in that pressure point. And then when it comes to the curtailment costs, we believe that that also is going to be front-end loaded, we're trying to bring our inventories down to 50 days or lower. We're making good progress on that. If you take a look at just the calculations and everything on a year-on-year basis, the operating cost impact of that is it peaks in the first quarter, will have some negative impact in the second quarter, not to the same degree in the first quarter, and by the back half of the year on a year-on-year basis that's going to be a strong year-on-year headwinds, against obviously weaker comps in the prior year. So hopefully that gives you the cadence that you're looking for.
Anthony Pettinari: Got it, got it. That that's very helpful. And then just a quick follow-up, you talked about tariff impacts and competitive intensity with aluminum, which I guess is maybe too soon to tell, but in the US, can you talk about how fewer Chinese bottles, fewer Chinese imports, how you're seeing that impact the market this year?
Gordon Hardie: Yeah. Currently we're not seeing a lot of impact because there does seem to have been quite a bit of pre-buying by importers and distributors. So we see there's a fair bit of stock in the market. Obviously, buyers may also look to see if there are other cheaper import markets such as India, but so at the moment we're not seeing a huge impact, Anthony.
John Haudrich: One thing I would add Anthony is if we take a look at those opportunity sections and that tariff if those emerge those are kind of upsides to the -- our baseline view of the business. So those are opportunities that are not factored into our current outlook at all.
Anthony Pettinari: Got it. Got it. And what do you think those inventories potentially they run down by the summer? Is it a few months or a few quarters or any framing there.
Gordon Hardie: Yeah, I would imagine by the end of the summer. I would imagine by the end of the summer
Anthony Pettinari: Got it. Got it. I'll turn it over.
Operator: [Operator Instructions] We now turn to Arun Viswanathan with RBC Capital Markets. Your line is open. Please go ahead.
Arun Viswanathan: Great. Thanks for taking my question. So congrats on the strong progress thus far. I guess maybe you can just review what you're hearing from some of your customers on the spirit side in North America. I know there's been some volatility there. I mean I guess globally as well that would be helpful. Thanks.
Gordon Hardie: Yeah, you know, as we work through these kind of uncertain times obviously we're staying as close as we can to customers and working with them on maybe different scenarios and how we position capacity and I think there's a bit of a wait and see over the next 60 days now. And I think there has been last year maybe some shifting of product into different markets and we saw that a bit of that in January, but no big structural decisions about onshoring capacity or onshoring bottling for example from Europe. There people are talking about it but no actual moves on that and. Neither do we see moves currently into from the US into Europe. So I think we're very much in a wait and see period and some of these decisions once you make them you're long on that decision. And then if tariff policies change people can be caught out of the position. So I think it's very much a wait and see at the moment, Arun.
John Haudrich: The one thing I would add on that what we had seen last year is that -- that the spirits activity they were drawing down inventories and I think we've seen some normalization of that. In fact our volumes in the first quarter and spirits were actually pretty good because people are beyond past that destocking phase and now we're going into the obviously the uncertainty with tariffs.
Arun Viswanathan: Thanks, John. Yeah and I guess, I also had some questions on the rod side. Maybe just give us some thoughts on how you're thinking about your energy hedges as it relates to natural gas as well as potentially you are sourcing of coal and soda ash if there's anything we need to be mindful of on that side. Thanks.
John Haudrich: Yeah, I'll address the energy component of it. So just a background we have very favorable energy long-term contracts that we set before the Russia-Ukraine war. We've been benefiting from that. We're highly covered and contracted through the balance of the year. So as it stands for this year we're in very good shape when it comes to energy. Now going into next year 2016 and beyond we have been layering in over time some of our positions and contracts for the future. We take a multi-year view on that. Now at the same token, some of those prices had had peaked up at the beginning of the year so we're being judicious about that. What I would point you back to Arun is back to our Investor Day about a month ago, we kind of gave a longer-term view of from our bridge from today or at the end of 2024 to 2027, where we're going to $1.45 billion of EBITDA included that in that outlook was our expected headwind for resetting of those long-term energy contracts and I would say that that view still holds. So I think you can look back at that and even with the moving energy markets I think it's still an appropriate outlook.
Gordon Hardie: Yes. And with regard to raw materials generally, as we've laid out as part of our strategy is a value chain approach to working differently both with customers on the front end but also working differently with suppliers on the back end. And doing so in a way that strips waste and inefficiency out of – out of that part of the chain and we're working very well with our key suppliers. There's tremendous focus on productivity plans and so we're very happy with the progress we're making there and in managing that that area of the value chain and the cost is far more tightly than heretofore. So we feel we're in good shape there.
Operator: [Operator Instructions] We now to turn to Gabe Hajde with Wells Fargo Securities. Your line is open. Please go ahead.
Gabe Hajde: Gordon, John, Chris, good morning. Thanks for taking the question.
Gordon Hardie: Gabe, how are you?
John Haudrich: Hi, Gabe.
Gabe Hajde: Well, I joined a moment late, so I apologize if you guys addressed this. I didn't see you call out any sort of curtailments in the Americas. So A, confirm that. B, I think I heard the word tightish across the production system. Is that true across the specific geographies, US, Mexico and Brazil? And then maybe what are you seeing? I know we're going into the winter months but any discussion with your customers in terms of kind of cadence for the back half of the year.
John Haudrich: I can take the first part of that. You did hear right, yes, okay sure. You did hear right overall there were no curtailments of any consequence in the Americas, all the way from Canada, down to Brazil, we're very balanced in that in that particular marketplace. Certainly, we will continue to seek through GOE going forward. Opportunities to improve capacity utilization but we've done most of the heavy lifting of the network, initial network optimizations in the Americas, and as I mentioned before, we continue in Europe but we hope by mid-year maybe later part of summer, we'll be on the worst of the temporary procurement activity.
Gordon Hardie: Yes. And the outlook for the rest of the year I think is largely more of the same in the Americas, the demand is good, capacity is tight, pricing stable and we expect that to kind of run through probably to the end of the year and those geographies for sure.
Gabe Hajde: Okay. And then John, I think you kind of mentioned and I fully appreciate being cautious and pragmatic here given the macro but kind of if we were to free things today tracking towards the upper end of the range based on kind of what you expect through the first half. I also know that you guys have talked about trying to reduce the volatility and earnings and produce closer to sell maybe not hang on to as much inventory. I think I know Gordon you talked about that, the Q4 guide. Is that where we would see the big swing factor? And I think you also just mentioned not taking as many curtailments in the fourth quarter. So is that the big swing factor and unknown as we sit today, that could dictate higher end of the range, lower end of the range, because it seems like you guys got some visibility into the Q2, Q3?
John Haudrich: I think it's a fair observation Gabe. The fourth quarter as you took a look at that that pie chart is the weakest quarter from an earnings -- a quarterly earnings standpoint. It is also the seasonally slowest period for a business given just the seasonality of our business and being predominantly northern hemisphere. But if there's an opportunity, I think there is again line of sight is better in the second and third and a little bit more cautious in the fourth quarter. Of course, the fourth quarter is also an active period. Sometimes you do more maintenance, sometimes you don't depending on the activity. And I would also say, our earnings are very sensitive to tax rates, especially in those softer periods and seasonally softer periods. So that could also be a swing factor too. So to the degree that we're at the higher end of the range and the tariff challenges don't manifest themselves to materially impact the business, I think you could see the fourth quarter being a little bit better.
Operator: [Operator Instructions] We have no further questions. So I'll now hand back to Chris Manuel for any final remarks.
Chris Manuel: Thanks Elliott. That concludes our earnings call. Please note, our second quarter call is currently scheduled for Wednesday, July 30, and as a reminder, make it a memorable moment by choosing safe, sustainable glass. Thank you.
Operator: Ladies and gentlemen, today's call is now concluded. We'd like to thank you for your participation. You may now disconnect your lines.